Operator: Good morning, and welcome to the CNH 2025 First Quarter Results Conference Call. All lines have been place on mute to prevent any background noise. [Operator Instructions] I will now turn the call over to Jason Omerza, Vice President of Investor Relations. Please go ahead.
Jason Omerza: Thank you, John, and good morning, everyone. We would like to welcome you to the webcast and conference call for CNH Industrial’s first quarter results for the period ending March 31, 2025. This call is being broadcast live and is copyrighted by CNH. Any recording, transmission, or other use of any portion of this broadcast without the expressed written consent of CNH is strictly prohibited. Hosting today’s call are CNH CEO, Gerrit Marx; and CFO, Oddone Incisa, they will reference the material available for download from our website. Please note that any forward-looking statements that we make during today’s call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included in the presentation material. Additional information pertaining to factors that could cause actual results to differ materially is contained in the company’s most recent annual report on Form 10-K as well as other periodic reports and filings with the U.S. Securities and Exchange Commission. Our presentation includes certain non-GAAP financial measures. Additional information, including reconciliations to the most directly comparable U.S. GAAP financial measures is included in the presentation material. I will now turn the call over to Gerrit.
Gerrit Marx: Thank you, Jason, and good morning to everyone joining our call in here from Oak Brook, Illinois. Before we begin, I want to address the recent announcement that Oddone will be stepping down from his role as Chief Financial Officer, effective May 6th, after more than five years as our CFO, safely navigating our path during COVID and the subsequent global recovery of our exciting industry, all the way to this very phase of our cyclical markets. On behalf of the Board and the entire company, I want to extend my sincere thanks to Oddone for his outstanding leadership and unwavering dedication over his impressive 28-year career with CNH and related companies. He has been a key force in leading and growing our financial services business first and then in shaping our financial strategy, and I wish him all the best for his future endeavors. We’re also grateful that Oddone is working closely with us to ensure a seamless transition with his successor, Jim Nickolas, who joins us from Martin Marietta, a company that is a global leader in its space and shares some of our analyst coverage connected today. We are thrilled to welcome Jim to the team as CNH’s incoming Chief Financial Officer. Jim brings a strong background of over 30 years of experience in corporate finance, M&A, tax, investment banking, and business strategy. You will all get a chance to meet Jim in person and on stage, when he presents at our Investor Day in New York next week, alongside me and the other members of our global leadership team. With that, let’s look at the first quarter results, where we kept production very low to reduce inventories while defending our growing market shares. So in line with expectations, our financial results came in at a low point. We are focused on what we can control while the industry demand remains soft, and we do our homework on multiple commercial and operational fronts. Our ag dealers continue to make meaningful progress in reducing their inventory. With another $100 million reduction in the quarter or about $1 billion lower since Q1 2024. Typically, we and our dealers in the Northern Hemisphere, build up inventories in the first quarter in preparation for the spring selling season. So while this decrease may seem modest, when compared to the larger reduction we saw in Q4, this is actually great progress and right in line with where we expect retail deliveries to be in the coming months, defending our strong market shares in key segments. While some of the dealer inventory reductions, particularly the more aged and special purpose units were supported by additional incentives in the quarter. We remain disciplined in balancing price and costs, particularly for our latest machines. Price/cost was favorable, even with ag pricing slightly lower year-over-year in the quarter as targeted, and we expect to have better pricing comparisons in the second half, which depends on how the various factors governing our end markets will play out. Construction price cost was nearly even. We launched a great new automated spraying solution for farmers. Case IH SenseApply and New Holland IntelliSense, using vision technology from Augmenta, the startup we acquired in 2023. This Sense and Ag technology offers great flexibility with a range of spraying application options. And it is a very cost-effective solution for farmers as it requires no annual subscriptions or per-acre fees, which drives efficiency and profitability using our world-class iron and precision technology. Besides the addition of Jim as our new CFO, we also announced some other leadership changes. Luis Abreu, as our Chief Information Officer; Francesco Tutino, as our Chief Human Resources Officer; and Cameron Batten as our Chief Communications Officer. Welcome to the CNH team. Luis was promoted from our internal bench, while Francesco has returned to CNH just as I did almost a year ago. Cameron joined us after growing roles in high-tech and automotive players and is supporting our internal and external messaging, as you will experience next week during our Investor Day. We remain relentlessly focused on driving operational excellence across the company, advancing cutting-edge technologies and deepening the execution of our cost-saving initiatives. We are looking forward to going into more detail during our Investor Day next week. We will review our mid-cycle 2030 profitability targets with you, well past the certainly relevant short-term impacts from global uncertainties around tariffs and of course, the cyclicality of our business. CNH is long-term oriented and focused on what – on doing the right thing, regardless of what we might face in the near term. We will always find the best choice that balances all stakeholder interests. The Q1 results reflect the expected and guided market headwinds and our decision to keep production low. I’m confident we are taking the right steps to navigate this period and position the business for the next cycle upturn and our long-term success. Consolidated revenues for the first quarter were down 21% at $3.8 billion. Industrial adjusted EBIT was $101 million, down 73% compared to last year, and EPS for the quarter was $0.10. While some commodity prices have improved year-over-year, farm incomes remain depressed and relevant boundary conditions are quite uncertain, which leads to softness in equipment demand. The adjustments to our manufacturing cadence, while painful, are necessary to position us to whether the equipment demand downturn in a healthy way that balances our various priorities, and they also provide an opportunity to improve and change our processes to come out stronger on the other side, while our operations run at a slow pace. As expected, retail demand was slow in the quarter. Our production hours were down 26% when compared to Q1 2024, and with agriculture down 27% versus 2024 and construction down 19%. For context, Q1 2025 production hours were down 41% versus Q1 2023, with ag down 43% and construction down 33%. Large ag was down 36% versus 2024 and 50% versus 2023. Small ag was down 12% versus 2024 and 29% versus 2023. We are working very closely with our dealer network and supporting them with marketing actions and to reciprocate exchange of information to achieve lower healthier inventory levels while preparing for a great fresh model year 2026 lineup to come very soon. By staying close to the dealer network and focusing on market shares, we are well-positioned to reach our year-end inventory targets. We are proud of the performance of our Financial Services segment that yielded sound results, while facing the market slowdown and higher risk provisioning needs. This is an important strategic part of our business that provides our farmers and builders with access to competitive financing even when the macro environment becomes more uncertain and less stable. We are seeing once again the value of operating a captive financial services business in volatile times. Later on, we will speak in greater detail about the current tariff discussions and actions. But let me say, that we are obviously monitoring the situation very closely given the speed with which things are changing, and we have the team and resources in place to respond and act swiftly. As prior moments of profound change and challenge in our industry have shown, there are some thoughtful actions that can be taken immediately, while other more structural changes will require more certainty and visibility. We act on both sides effective today and in alignment with our dealers, we implemented a modest price adjustment in North America for new orders while sharing the tariff cost impact with our supply base. We have been and always will be committed to the North American home of our global brands, and we see multiple ways to address the possible change of global trade, not only of commodities, but also of agriculture and construction equipment. Historically, the ag equipment end market has been more resilient than other industries in terms of GDP contraction, but the uncertainty is not helping an already depressed market. Facing those challenges head on, I’m very proud of our team for continuing to execute in an effective, thoughtful, and calm way, keeping the long-term picture and profound underlying drivers that define our business ecosystem in mind. With that, I will now turn the call over to Oddone to take us through the details of our financial results.
Oddone Incisa: Thank you, Gerrit, and good morning, everyone. Before I dive in into the prepared remarks, let me take a moment to express my gratitude to the colleagues and partners who have made the past 12 years and the CNH global executive team so meaningful. There’s never a perfect time, but Gerrit and I concur that this was the right moment for me to hand over my role as CNH has transformed into a focused U.S. listed industrial company service the demands of our farmers and builders. It has been an honor year to grow alongside such a special organization, and I’m proud of what we have accomplished together. Special thanks also to this very audience of analysts and investors. It has been a privilege working with you all. Last but not least, I’m very happy that with Jim, CNH has found an experienced, capable and trusted person to bring things forward. Now to the financials. First [ph] quarter industrial net sales were down 23% year-over-year to just below $3.2 billion. This decline was mainly due to lower shipment volumes, given the weak demand environment and a reduced production in both industrial segments. Adjusted net income decreased by two thirds, also affected by a higher tax rate and lower financial service results. With adjusted diluted earnings per share down from $0.30 to $0.10. Q1 free cash flow for industrial activities was at $567 million outflow in line with the working capital seasonality for the first quarter. The cash absorption is significantly better compared to Q1 of 2024, mainly due to a more contained growth of finished goods and component inventories. In agriculture, net sales decreased 23% in the quarter with lower shipment across all regions, driven by lower industry demand and network destocking in 2025 compared to stocking in 2024. Q1 gross margin was 20%, down 380 basis points year-over-year, driven mainly by the lower production volumes and unfavorable mix, partially offset by operational cost reductions. Volume and mix were clearly the largest driver for our performance. As Gerrit mentioned, pricing was slightly negative in the quarter as we increased our incentives for our dealers to retail aged and used inventory. This was planned and full year pricing is forecast to be positive even before the moderate price adjustments that are effective as of today. Production costs were down more than pricing, keeping a positive price/cost relationship even though quality costs still have a negative impact in the year-over-year comparison, which we expect to reverse in the coming quarters. R&D and SG&A expenses for the period were lower than in Q1 2024, and reflecting the continuation of our efforts to contain costs in this environment. We continue to see softness in the Turkish market, which is shown in lower JV results in the other category. Adjusted EBIT margin for agriculture was 5.4%, which we expect to be the lowest profitability for any quarter this year. Moving to construction. Net sales for the first quarter were $591 million, down 22% year-over-year, driven by lower shipment volumes, mostly in North America. Gross margin for the first quarter was 14.9%, down 250 basis points compared to the first quarter of 2024, mostly driven by the lower volumes. SG&A and R&D expenses were both favorable year-over-year, and first quarter adjusted EBIT margin was 2.4%. On Financial Services, net income for the first quarter was $90 million. The year-over-year decrease was mainly driven by higher expected risk cost, higher taxes due to prior year one-off adjustments in Argentina, partially offset by favorable volumes across all regions except in EMEA. Retail originations in the first quarter were $2.4 billion, slightly down, but flat on a constant currency basis, reflecting higher penetration rates in our lower equipment sales scenario. The management portfolio ended the quarter at $28 billion. It is worth noting that within the total portfolio balance, the wholesale portfolio, which represents new receivables is down $1.5 billion of constant currencies since March 2024. The dealers have reduced their inventory adapting to the changed market conditions. Delinquencies are higher, with continued pressure in South America, particularly in Brazil and growing delinquencies in North America. This is in line with what we expect, while in a downturn, and we’re focusing our efforts on collections. Financial Services has its own predictable cycle in our industry. Moving to our capital allocation priorities, which remains unchanged and jumping directly to the shareholder returns. After the dividend proposal is approved at our Annual General Meeting of Shareholders on May 12th, we expect to pay an annual dividend of $0.25 per share or over $300 million. We also expect the shareholders to reapprove and extend our outstanding share buyback authorization. Before I turn it back to Gerrit, I want to align how we source the machines that we sell in the U.S. to frame our exposure to the announced import tariffs. The bar across the top of the slide shows the 2024 breakdown in dollar terms of where machines sold in U.S. came from. About two thirds were manufactured in our U.S. plants and about one third of the machines by value were imported from other countries. You can see the breakdown of those imports by origin on the right side of the slide. The CNH supply chain footprint is designed to balance cost center of product excellence, local content and proximity to our key markets. As you can see in the pie chart, last year, our U.S. plant sourced 70% of their components from U.S. suppliers with about an additional 10% coming from Mexico and Canada. We have been working with our suppliers to ensure that we have USMCA documentation for those parts. That leaves the remaining 20% of components sourced mainly from Europe and China. Also keep in mind that U.S. plants export to other regions, mainly to APAC and EMEA. We are proud of the significant production engineering capabilities in the U.S. and CNH is committed to continuing to further enhance those capabilities in a thoughtful balance as a global engineering, production, and sales company. With that, I will turn it back to Gerrit.
Gerrit Marx: Thank you, Oddone, for the important context around the tariff exposure. To say that the past months evolving trade environment has been highly dynamic would be an understatement. But I have experienced that in CNH. We have the right teams and tools in place to turn challenges into opportunities to gain ground and claim our very own turf. We are actively engaged in robust scenario planning around the tariffs, while recognizing that long-term decision-making is difficult when the policies shift so rapidly. But we are viewing the tariff impact through several lenses and understanding impacts on our business, our suppliers, our network partners, our farmers, and our industry overall. A growing global population will have an even greater demand for not only commodities directly, but also indirectly through a shift towards more animal protein consumption. The mechanization and automation of our machines is imperative. And as the global number two player with the pronounced strength in harvesting, we are looking forward to those arising opportunities, particularly when the cycle turns again, as it always does. When we look the impact to CNH, there are a few points to keep in mind. We import planters from our factory in Saskatoon, Canada, and they are fully USMCA compliant. We’re also working on getting all the paperwork in place for the very small number of tractors that come from our joint venture in Mexico. Also, 95% of steel directly purchased by our U.S. plants come from American mills. We are currently producing at very low levels in the U.S. given the industry demand, so the immediate tariff impact isn’t the same as if we were at the peak of the industry. We have said before that we will need to look at price adjustments to mitigate tariff impacts that can’t otherwise be offset through sourcing or other mechanisms. We want to balance that with being mindful of our farmers and builders and the modest price adjustment on model year 2024 products sold in North America expected to help offset the net tariff impact after supplier actions. Existing presold retail orders will not be affected. That will bridge us to our model year 2026 pricing later this year, with which we expect as we regularly do to fully offset any net cost impact as we move into next year. Next, looking at the impact on our farmers. When tariffs 1.0 were implemented in 2018, we did see some shift in demand for food and feed commodities, which depressed their prices. That could happen again. Now U.S. farmers do expect that if they are negatively impacted by the tariffs, there will be federal support payments to act as a buffer, and that has kept farmer sentiment relatively stable in the past. However, we do think that the continued macroeconomic uncertainty may drive a wait and see conservative approach to capital expenditure. Hence, we might only see more clearly after the summer, where and when demand is coming back. At an industry level, the North American ag machinery market was already forecasted to reach cyclical trough levels in 2025, which implies that the demand levels should not get much lower. However, lower farm income or restricted access to financing could drive demand lower or drag out the cycle recovery. We will reevaluate [ph] a narrower range of potential outcomes later this year. On the other hand, we may see a shift in commodity demand away from the U.S. and towards other regions such as Brazil, like we saw with tariffs 1.0. We are uniquely positioned to benefit from that kind of shift because CNH is the most geographically balanced of the major ag OEMs. Beyond this global rebalancing of commodity trade and farm equipment supply, please allow me to stress that we are confident that the U.S. administration will define a support package that is not just short-term, but also provides mid- to long-term certainty for our farmers in our lands of the United States of America. With those considerations in mind, we wanted to walk you through two of the many possible scenarios that we may face as we frame how we are evolving our playbooks to manage through the market uncertainty. The full year 2025 guidance we issued last quarter obviously did not assume the significant global tariff implications that were announced on April 2nd, and the multiple reactions to them. On the far right of the slide, we outlined the major assumptions of our upper-end scenario. In that scenario, we assume that the current level of tariffs 25% on steel, 145% on China, 25% on Mexico and Canada for non-USMCA compliant products and 10% on other countries will continue for the remainder of the year. We assume no further demand erosion on already very low projected levels. The middle column outlines the lower-end scenario, which assumes that once the 90-day pause is over, the full level of tariffs announced on April 2nd, will kick in, which might be too pessimistic in light of reports of progressing bilateral discussions between the U.S. and other governments on the subject. We have already – we have also assumed that North America industry demand could fall another 5 percentage points to the lowest historic levels since the early 2000s. So – as we move forward with our revised forecast for the year, keep these assumptions in mind for the upper end and the lower end. They widened the range of outcomes, but hopefully, we have given you enough context to understand what is behind these ranges. We are not going into detail today on the portfolio of possible actions, we are preparing to align CNH in a new reality. We will talk about those once the boundary conditions have stabilized and structural decisions are sensible to be taken. Now, let’s review our latest outlook for ag in 2025. Overall, we had expected the global industry demand to be down 5% to 10% from 2024. With the additional risk in North America that I outlined before, that could look like 10% to 15% down. We have widened the range of our sales forecast to account for additional pricing on one side, but also for potential industry demand drop on the other side. We’ve also widened our ag EBIT margin forecast to between 7% and 9%, recognizing a partial absorption of the tariff impact to do right by our farmers and the potential that we may need to lower production even further, while staying on our path of inventory reductions and pricing discipline. In construction, the new impacts that we have reflected are very similar to ag. It is important to point out, however, that construction as an industry is more tied to GDP growth than agriculture. We have widened the sales forecast range to down 4% to 15% and the EBIT margin range to 2% to 4% for 2025. We’ve had active discussions with potential strategic partners for our construction business. However, we have paused any decision on pathways until the current levels of uncertainty have settled and we get the full visibility on what lies ahead. CASE construction line at the recent Bauma fair in Munich was very well received, with new compact and large machines, all equipped with digital functionalities and connected services. We feel very good about CASE constructions path ahead as we evolve its partnerships in this environment. Putting the two Industrial segments together, we forecast 2025 net sales to be 11% to 19% lower than 2024, with an industrial adjusted EBIT margin between 4.5% and 6.5%. We have taken the lower end of the free cash flow range a bit down, but we maintained the upper end on better working capital assumptions. So free cash flow is now forecasted to be between $100 million to $500 million in 2025, a definite positive recovery from 2024 when we took the swing in working capital on the back of deep production cuts by design. With the dispersion of potential tariff outcomes, we have widened the EPS forecast to between $0.50 and $0.70. Looking at our priorities for the remainder of the year. We are navigating the regional demand trends to ensure that we are responsive to ongoing shifts in the market, especially as we are dealing with the rapidly changing trade environment. Q2 production slots for both agriculture and construction are already full with orders, and Q3 is more than 50% booked with most products with some products already completely sold out. We, at CNH are staying focused on mission-critical initiatives and not getting distracted by all the trade noise. Nothing about what is happening changes our long-term trajectory. Rather, it is a near-term obstacle that we will navigate. Our production levels will remain intentionally lower at least through the first half of the year as planned. After this period of observing and adjusting, we will move into aligning our production for the second half in tandem with the realities of the trade impacts. We made total quality a part of our mindset, driving quality in everything that we do. We will continue to invest in our products, and we continue to work on our manufacturing and sourcing efficiencies. You will see next week, what we have in store as we evolve the mid-cycle profitability of our company. At the Investor Day on May 8th, our team will provide more insight into our product road map, precision technology, our go-to-market strategy and quality. We are really excited about it, and I hope that you are all planning to tune in. In conclusion, it’s a difficult market today, but it’s also something quite exciting. Change and transition always bear the greatest fruit for those who lean in, carefully weigh the options and then decisively pursue map pathways. We are monitoring the demand indicators closely and the overall macro environment. With our balanced global exposure, CNH is well-positioned to navigate the current market and additional policy shifts. We remain committed to providing our farmers and builders with excellent quality products and services, while continuing to improve and innovate our technology. That concludes our prepared remarks, and we are ready for the Q&A.
Operator: [Operator Instructions] The first question comes from the line of Angel Castillo with Morgan Stanley. Please go ahead.
Angel Castillo: Thanks and good morning everyone. Oddone, I just wanted to wish you all the best, and Jim also looking forward to working with you here at CNH as we did at [indiscernible]. But with that, just a quick question. I wanted to dig in a little bit more on the tariffs. Apologies, if I missed this Gerrit, but just can you help us quantify exactly how much is kind of implied in terms of – from an EPS perspective in terms of a headwind in kind of the low end and the high end. Another way of kind of saying like how much would be your EPS, if you hadn’t included any incremental for tariffs?
Oddone Incisa: Oddone here. Angel, I would say that most of – I mean all of the change in our guidance is due to the tariff scenarios, right? And we put that two scenarios because of the high level of uncertainty that we have here. So if you take the move of the midpoint, that’s where we think that’s the number that you need to take. And then depending on how things evolve, we will move on that range.
Gerrit Marx: Yes. Look, profoundly, nothing has changed except for the tariffs. And we have thoughtfully widened our guidance range to 200 basis points in order to account for the scenarios that we see ahead. And well, we’ll need to see what this is going to clear up over the course of the summer. But I think as Oddone said, it’s also the move of the midpoint that we see as a possible impact from a certain tariff scenario.
Operator: Your next question comes from the line of Tim Thein with Raymond James. Please go ahead.
Tim Thein: Hi, thank you. Good morning. Maybe just for my one question. If we could drill down a bit into the production cost within the ag business, the favorable, I think it was $39 million, just thinking how you’re thinking about the spend on related to – within that, the spend related to quality. I believe the expectation coming into the year was for that warranty spend to still be a year-over-year headwind to the first half. I guess, just how we’re thinking about this cost outlook, taking the tariff discussion, albeit an important one out of the equation, just how we’re thinking about that kind of component between quality spend and then just separately, your outlook from manufacturing costs. Thank you.
Oddone Incisa: Yes, you’re right. I mean quality is still negative in the quarter, as we said in our prepared remarks. So we have reduction in production costs, which includes a charge – an additional charge or additional delta to last year for quality. We expect to revert that in the coming quarters because last year, particularly in the second part of the year, we spent additional dollars on quality, which we expect not to repeat this year because we have improved the quality of the products coming out of the of the plants, and we have preventively cured some of the issues that we had.
Gerrit Marx: Yes. And I think on the seasonality, we accelerated our accruals on quality in the second half of last year. So on a year-on-year basis – year-over-year basis, in the first quarter, we are still on the quality side up, yet I can already tell you that we are seeing a much better quality leaving our factories today and there is much more to go after with our global quality teams now being laser-focused on making sure that what leaves our factories meets or exceeds customer expectations. So we are on a very good path here. And as these quality accruals are trailing, we are still in Q1, we’re still up year-over-year on that side. But despite that, cost of production is lower. So we see a good potential here in the second half of the year and as we enter into 2026.
Operator: Your next question comes from the line of Kristen Owen with Oppenheimer. Please go ahead.
Kristen Owen: Hi, good morning. Thank you for taking the question and in regards to Oddone, thank you for all the help over the years. I wanted to ask if you could elaborate here on some of the prepared remarks that you made about the price adjustments and sharing some of the costs with your suppliers, if you could just elaborate on that and perhaps address longer-term, I wanted to ask you about the efforts you’ve undertaken on the procurement program over the last couple of years and how the tariff landscape might impact that ongoing effort? Thank you.
Gerrit Marx: Thank you for the question. So look, the price adjustments we have implemented actually effective today, May 1st, are moderate and low single digit. Balancing what we already see to come our way with the runout of model year 2025 that is in production for the second and the third quarter. So this is a moderate adjustment and then we’ll see what it means to make machines in the fourth quarter, and that is predominantly the model year 2026, that will be shipped in Q4 and sold in Q4 and then starting from the beginning of 2026 onwards. So that is regular price adjustment on the back of, let’s say, cost movements. And this is well-aligned with our network, and we don’t consider that to be a major issue. On the sharing with suppliers, I mean, obviously, we are working very actively with our supply base on the impact from this tariff exposure from the exposure that is certain at this point, the 10% for everyone and obviously, also the exposure on China and certain materials like steel, but that is, from our point of view, pretty logical to approach suppliers and that is also common in the industry to approach suppliers to have a sharing of those cost increases as we look through this phase of uncertainty, which will trigger, obviously resourcing and probably also most likely relocation of certain production facilities of suppliers into countries with more favorable tariff exposure, including obviously, the United States. So these types of discussions are ongoing. Such relocations will take time. And I think sharing such cost with our supply base keeps both of us pretty alerted to get it done quickly. So that is our mindset that we deploy at this point. And you mentioned the strategic sourcing program, which comes together quite nicely. And you see these – the early results of both Wave 1 and Wave 2 coming through in our production cost, as I replied to in the first – previous question, we are continuing that and we obviously have a very close look at those sources and origins of components that we consider to resource to get to a better cost position in certain countries where the exposure is more elevated and higher. Obviously, those countries and those sources are probably less favorable to be considered in our strategic sourcing program. So it has an immediate impact and the teams are super well prepared to take the right choice in between the various options that we have. Because for every component that we resource or we have in the resourcing program, we have somewhere between four to six alternative suppliers from various different countries. So I think this tariff situation is going to impact decisions, but it’s not going to slow us down by any way and doesn’t deviate our attention to away from getting the best outcome and a better cost position for CNH.
Operator: Your next question comes from the line of Tami Zakaria with JPMorgan. Please go ahead.
Tami Zakaria: Hey, good morning and farewell to Oddone, it was an honor to work with you. So question on the ag margin. I think I heard you say 1Q was going to be the low point. If you could provide some color on how to think about the cadence of ag segment margin as the year progresses 2Q through 4Q?
Oddone Incisa: Yes. I mean the first quarter is typically a low quarter. And this year, we took – I mean, by design, we took production down significantly. We didn’t produce that level of inventory and sales to our dealers that we typically do in the first quarter because we are assessing where demand is. And we – as we discussed throughout last year, also, we are assessing what is already available on the field. The second quarter would still be relatively low. And then our expectation is to have a second half much more – much better going back to the double-digit profitability.
Operator: Next question comes from the line of Kyle Menges with Citigroup. Please go ahead.
Kyle Menges: Thank you. Just following up on that question. How should we be thinking about earnings in the second quarter? Or should we still be pretty confident in a seasonal step-up in earnings from the first quarter to the second quarter despite tariff impacts? And then how should we be thinking about possible outcomes for EPS in the second half? And then just also more of a clarifying question on the price adjustments and when those might actually show up in the P&L, just given production slots are full for the second quarter at 50% or so for the third quarter. Does that basically price adjustments don’t show up at all in the second quarter than a little in the third, and then more so in the fourth quarter? It would be helpful to hear how to think about that. Thank you.
Oddone Incisa: Maybe, let me start from the price adjustment. They will likely show up when the product with higher cost will come in. And those price adjustments are specific for North America, right, and they start today. So that will come, that will flow through the P&L at the same time where higher cost will flow through the P&L. And then we will have – Gerrit talked about other price adjustments that we will have in the normal cycle at the end of the year for model year 2026. Then of course, on the P&L, you don’t only have the list price, but you also have the discounted incentives that we gave, and we say that we have a higher level of incentives on the first – we had a higher level of incentive in the first quarter, and we are – and those are moderating in the coming quarter.
Gerrit Marx: And let me build on the – actually make – allow me to make the link to the imperative to reduce inventories further over the course of the year. I mean our machines have appreciated in price quite a bit, and we keep increasing that net price in light of the current situation we are going through, but also the improved functionalities and the additional technology that we are engineering and loading into those machines. Given that these machines on average are getting more and more pricey, obviously, we need to be as an industry. And so are we be very, very cautious when it comes to dealer inventories because these numbers carry interest and having our dealers at a low level of inventories is not only in itself, let’s say, healthy at times like these, during times like these. But with increasing machine prices, I mean, lower inventories on the dealer side are needed to lower the financial exposure for them on the interest side. So I think this is why we convinced that the choice we made driving inventories down while making thoughtful interventions on the price side vis-à-vis the global scenario is the right choice is the right trade-off. And we will keep adjusting that over the course of the year as we see clearer how this whole tariff exposure and global trade will unfold. So this is connected tariffs and – or no, not tariffs, pricing of machines and inventory.
Operator: Your next question comes from the line of Daniela Costa with Goldman Sachs. Please go ahead.
Daniela Costa: Hi, good afternoon. Thank you for taking my question. I actually wanted to ask on tariffs, if possible at all, but very quick. You commented extensively very helpful data on the tariffs the impact on yourselves. But wondering if you see your peers more or less similarly positioned? Or it’s sort of you at a advantage of or an advantage in certain pockets. That’s number one. I’ll ask them one at a time.
Gerrit Marx: Hi, Daniela. Well, look, we obviously have no insights into their real exposure of supply chain. So we don’t know. So we can only look at where machines are made and from where they are shipped because that is public knowledge. So I think from a U.S. point of view, I think we are pretty – we are more or less exposed similar to the larger competitor in the United States when it comes to these tariffs while I think, obviously, being attached to the European production, predominantly, that is not exactly helpful at this point in time. However, on the other side, European market, as we see it, is going to enter a lower decline phase in 2025. And when we look at the early out of 2026 than the United States. So being more exposed to a European market might provide lower volatility in the very near term, given the decline in the United States and a large cash crop, as we alluded to last time, which we see in the 30% minus range for large machines working in cash crop. We need to see. And by the way, the Harvesting segment in itself is slightly higher impacted than the tractor segment in itself. So there are let’s say, different exposures if you split tractors versus combines and then you look at regions, Europe versus U.S., but I consider this exposure to be pretty short-term, and that it will wash out certainly over the next 12 to 18 months, but that is what I see at this point. We feel with our heavy machines, the big machines, the four-wheel drives, the sprayers, the magnums, the combines all made in the United States for the United States, we feel very well-positioned to keep track and be very close to our dealers and customers and farmers, providing them world-class equipment at competitive pricing.
Operator: [Operator Instructions] Our next question comes from the line of Mig Dobre with Baird. Please go ahead.
Mig Dobre: Thank you. Good morning and I appreciate the helpful detail on tariffs. I guess the question that I’m looking to Gerrit is your comment on dealer inventories. The $100 million destock was encouraging. Where do you see dealer inventories currently? Maybe globally, you can comment on that. And I’m curious as well on construction, not just on ag, at what point in time do you think you’re going to be rightsized given where current level of demand? Thank you.
Gerrit Marx: Thanks for the question. Look, the way we look at it is always forward months sales. This is the indicator so month of forward sales and one impact – the big impact is also our projection of expected sales in the market that impacts that KPI. As per the prior call, we made an announcement that we are aiming at about $1 billion inventory reduction. We clocked $100 million in the first quarter, as I mentioned, which is a great accomplishment by our network and team given that usually from a seasonality point of view, the Q1 is up in inventory. So having a net minus $100 is, as you said, promising and quite encouraging. We’ll continue to do – to be on that path, and we will continue to keep production levels low in the second quarter, carefully observing how demand will evolve. We have not yet opened, obviously, our order books for the model year 2026, which we will do over summer, and then we will start filling Q4 production with a new model year. And I think in this overall mix of pace on retail and a careful – very careful view on production speed and capacity, we believe that we will definitely continue on this path in the second quarter and the second half, somewhere in the second half we shall see our production pace in the line equal retail pace. On a global level, yet this might look quite different by region. So as we mentioned before as well, I mean Brazil is now in the third year of a downturn. As we speak right now, there is the Agri show hosted in Brazil. Our team is there, super engaged, showing the latest of our product innovations. And we are engaging with farmers in Brazil as we speak right now, even closer during the Agri show. And what we hear is a positive sentiment about what might come, but this is not yet – has not yet reached a level where it would trigger CapEx expenditures. So procurement of ag machines in Brazil have remained on a low level in the first quarter. Confidence levels are improving, and now it all comes down to what is going to be announced, let’s say, final in the global trade over the course of the summer and before the end of the year in order to bring back the confidence to the Brazilian farmers, and that should restart considerate equipment purchases in that region. And I think that is a market to come back. In Europe, we need to see. In Europe, there are these ongoing discussions around let’s say, a piece in Ukraine, and that would obviously also impact the commodity production in the country. Once there is certainty, I think the production levels will keep coming up. And here, this is a supply of commodities. We’ll also need to see what will the summer bring in terms of deals, bilateral trade deals, and how well also other nations like China in their deals with Brazil even further. You know that soybeans imports to China predominantly coming already from Brazil to a very large extent. And I think if there was a further shift away from soybean imports from the U.S. into China, I think the only source for getting those in quantity is Brazil. However, their production level is already quite high. So we might see there some interesting dynamics on that end in global trade, and that will also drive our production decisions in the third and the fourth quarter by region. So – but on a global level, I think we expect production pace to equal retail pace somewhere in the second quarter – sorry, second half – somewhere in the second half with the second quarter still being on a similar trend like the first quarter by design. As I mentioned in the prepared remarks, we keep production levels at this level, which is quite painful, but it is needed.
Operator: The next question comes from the line of Jamie Cook with Truist Securities. Please go ahead.
Jamie Cook: Hi, good morning. I guess my question, the dealer inventory color was helpful. Can you just speak to what you’re seeing sort of by region on the pricing or the competitive landscape, whether that’s gotten better. And then I guess just following on that, your commentary on tariffs. I’m wondering if that is – could potentially help at all with dealer inventories, i.e., they want to buy the equipment on a lot because they’re worried about tariffs, and to what degree that could help support used pricing? Thank you.
Gerrit Marx: Well, I’ll start from the second question. That is an effect you are describing that is called in several industries, prebuy effect. So when there’s something coming that would peak up demand for certain products and commodities. I mean, we – on low levels, again, on low levels, we do see good interest in our machines and a good retail pace, again, on low levels also in the United States. And here, we – I would not speak about – I wouldn’t call it a prebuy effect. I wouldn’t call it a big wave, but I think there’s a continued interest in the machines. And now that moderate price increases are coming and the model year 2026 is entering production in the fourth quarter. I think there might be a certain helpful demand coming towards used machines and machines in a lot, but that isn’t a major – it’s not a major thing at this point. So we are not seeing it yet unfolding to a great extent. In terms of pricing and competition across the different regions, whether that something has changed. Well, look, we’re – we keep seeing good demand in regions like Australia and New Zealand. Also in Europe, we see on a low level, we’re going to – we see good pace, good interest and that gives us confidence in the strength of our sector vis-à-vis GDP and that people need to eat. The population is growing and our farmers need to produce even more efficiently the food for the world and the growing population. And with all of that, including a shift, as I mentioned, from a direct consumption, if you will, of commodity or carbohydrate-based products towards protein-based and more animal protein-based nutrition. We see overall an even slight acceleration of commodity consumption given that it takes quite a bit of soybean and corn in order to grow animal protein. So there’s an underlying shift and push in the direction of our industry in the long-term. But at this very moment, I think we feel very competitive – competitively positioned in all regions vis-a-vis our other market participants, yet we have slight differences here and there, depending on how we source and where we make machines. But again, I mean we all start now in Q2 to adjust pricing. And with that, we will see how markets will react and also how the market in terms of volume will evolve over the next two, three quarters.
Operator: The next question comes from the line of David Raso with Evercore ISI. Please go ahead.
David Raso: Hi, thank you. Actually, a little more just a clarification. When you’re saying pricing is hitting today, is that on new orders or any shipments from today onward?
Gerrit Marx: When the price increase that has become effective today is on new customer and new obviously, dealer orders. The customer orders that were placed prior to the announcement of the tariffs and prior to the effectiveness of the related increases in cost, those orders are protected, and we are not changing prices where customers have given us their definite order before the change happened in April. So we are having – the effectiveness of this price increase is in Q2 and is in Q3 on dealer orders and on new customer orders coming in.
Operator: Our last question for today comes from the line of Avi Jaroslawicz with UBS. Please go ahead.
Avi Jaroslawicz: Hi, good morning. Thanks guys. Just of the finished products that you’re importing from overseas, how are you handling the price adjustments there? Are you just taking the baseline tariff or whatever the effective tariff rate is for that country and applying that on as a surcharge or on a sticker price also within that bucket of products? Are there any products that you think it just doesn’t make economic sense due to competitive factors to continue offering with the tariffs that we have in place today?
Gerrit Marx: All machines, all equipment that we import to the U.S. still makes very much sense to be imported and to be made. The 10% flat on everybody does not change that attractiveness of the product. And the machines that we are – mid-range tractors, for example, or light tractors that are coming from Europe, those machines, we are not applying flat – the percentage and then call it price. What we are doing, we thoughtfully go obviously through the bill of material, how these tariffs do apply to the various different aspects of the machine. We then thoughtfully go through the list of suppliers and the sources of supply seek for a reasonable sharing of those tariffs, and then remainder is rolled up into a price increase on the machine, on the retail price, on the wholesale price, and then eventually on the retail price here in the U.S. So that is how it’s done. But we also have a very thorough look at the inventory levels of those machines in the country. We – when you look at our – when we talk about our inventory – dealer inventory levels being still $900 million towards the end of the year, $900 million too high versus the expectations that we had at that moment in time. And those are confirmed for now. We have on the imported machines from Europe, rather higher inventory levels than on the locally made machines because the supply chain from Europe is obviously longer than from the U.S. So we have higher inventory levels on average when you look at mid-range or smaller tractors across the board. And that means we are very carefully observing how this tariff situation will evolve, and we are pacing well imports from Europe to the U.S. accelerating the inventory reduction on the one side, but also avoiding stocking up on units at higher prices too early. So it’s – it really goes machine by machine. And we look at inventory levels, where they are and how retail pays and retail interest for these machines materializes, and that will drive, let’s say, the orders from our North American team towards the European team when it comes to mid-range and small-range tractors. And so it’s a bit more sophisticated than a line in an excel sheet, but it’s certainly – it’s carried out very thoughtfully by our teams in Europe and in the U.S., always with an eye on inventory levels.
Operator: Ladies and gentlemen, that concludes today’s question-and-answer session and today’s conference call. We thank you for your participation today. You may now disconnect.